Executives: David DeVoe - Chief Financial Officer, Principal Accounting Officer, Senior Executive Vice President, Executive Director, Senior Executive Vice President of News America, Director of BSkyB, Director of Gemstar-TV Guide, Director of NDS, Director of News America and Director of STAR Keith Murdoch - Chairman, Chief Executive Officer, Chairman of BSkyB, Director of Gemstar -TV Guide, Director of News America, Director of News International, Director of News Limited and Director of STAR Group Reed Nolte - Senior Vice President of Investor Relations Chase Carey - Deputy Chairman, President and Chief Operating Officer
Analysts: Jolanta Masojada - Crédit Suisse AG Spencer Wang - Crédit Suisse AG Jessica Cohen - BofA Merrill Lynch Georg Szalai Jordon Chong Sarah Rabil Richard Greenfield - BTIG, LLC Alan Gould - Natexis Bleichroeder, Inc. Adam Alexander - Goldman Sachs Ben Swinburne - Morgan Stanley Brian Stelter Shira Ovide - The Wall Street Journal Douglas Mitchelson - Deutsche Bank AG James Dix - Wedbush Securities Inc. Peter Ryan Thomas Eagan - Collins Stewart LLC
Operator: Ladies and gentlemen, thank you for standing by, and welcome to the News Corp. Fourth Quarter 2010 Earnings Release Conference Call. [Operator Instructions] And at this time, I will turn the conference call over to your host, Vice President Investor Relations with News Corporation, Mr. Reed Nolte. Please go ahead, sir.
Reed Nolte: Thank you very much, operator. Hello, everyone, and welcome to our fourth quarter fiscal 2010 earnings conference call. On the call today are Rupert Murdoch, Chairman and Chief Executive Officer; Chase Carey, President and Chief Operating Officer; and Dave DeVoe, our CFO. Dave will give a detailed presentation of the quarter results, followed by Chase, who will give his own perspective and color on the year. Then Rupert, Chase and Dave will be happy to take your questions, first from the financial community and then from the press. This call may include certain forward-looking information with respect to News Corporation's business and strategy. Actual results could differ materially from what is said. News Corporation's Form 10-K for the fiscal year ended June 31, 2010, identifies risks and opportunities that could cause actual results to differ. And these statements are qualified by the cautionary statements contained in such filing. Additionally, this call will include certain non-GAAP financial measurements. The definition of and a reconciliation of such measures can be found on our earnings release in our 10-Q filing. Finally, note that certain financial measures used in this call such as segment operating income, adjusted EPS and adjusted net income are expressed on a non-GAAP basis. The GAAP to non-GAAP reconciliation of segment operating income is included in our earnings release, and the EPS and net income reconciliation is posted on our website at the News Corp. Investor Relations earnings release page. And with that, I'll turn it over to Dave.
David DeVoe: Reed, thank you, and good afternoon, everybody. As you have seen in today's earnings release, News Corporation closed out fiscal 2010 with very solid results in terms of segment operating income, net earnings and cash flow from operations. Let me start with some highlights of our full year results. Excluding the $500 million pretax litigation charge taken in this year's second quarter, segment operating income was $4.5 billion as compared to $3.6 billion reported a year ago. Factoring out last year's $121 million contribution from NDS, which is no longer consolidated, segment operating income increased 30%. This growth is slightly better than the expectations we provided to you three months ago. This strong financial performance was driven by 8% overall revenue growth and led by sizable operating profit growth at our Cable and Film segments, offset in part by lower results in SKY Italia and MySpace. Bottom line, the company reported net income of $2.5 billion for this fiscal year and earnings per share of $0.97. This compares to a net loss of $3.4 billion or $1.29 per share reported a year ago, which included significant impairment charges. For the year, we also generated strong free cash flow, $2.9 billion. This is 150% more than we reported last year. Turning to the quarter. For the quarter segment operating income of $932 million was down slightly from the fourth quarter a year ago as double-digit growth in our Cable, Newspaper and Television segments was mostly offset by declines in other segments, particularly Film and SKY Italia. Bottom line, the company reported net income for the quarter of $875 million as compared to a loss of $203 million reported for the fourth quarter a year ago, which primarily relates to impairment charges. This year, fourth quarter results includes pretax gains of $212 million in Other, primarily from the sale of our Bulgarian TV station, impairment and restructuring charges of $217 million and $125 million in our share of a favorable litigation settlement at BSkyB. The fourth quarter a year ago included $680 million in pretax, impairment and other charges. Excluding the net income effect of these items, adjusted earnings per share was $0.30 this quarter as compared to a similarly adjusted $0.19 in the fourth quarter of fiscal 2009. In addition, this quarter's net income includes approximately $312 million of non-cash tax benefits related to the recognition of certain prior year’s tax credits, which contributed $0.12 to our earnings per share in the quarter. Now I'd like to provide some comments on a few of our businesses, and let's start with the Cable Networks. Growth in our Cable Network segment continues to drive overall company results with fourth quarter operating income contributions up 31% on 15% higher revenues reflecting the strength of FOX News, the RSNs and our International Cable businesses. The primary drivers behind the year-over-year increases in the quarter were from the FOX News Channel and the RSNs, where their strong market positions led to ad revenue increasing by over 20% versus the fourth quarter a year ago, and affiliate fees continued their strong growth. Keep in mind that at this point, we’ve renegotiated all the original FOX News carriage deals with major cable and satellite distributors. Scheduled renewals will begin again at the end of this calendar year. The Fox International Channels also reported strong growth: 28% on strong advertising and affiliate revenue growth, particularly in Latin America and in Asia. And our STAR businesses, particularly in India, continue to show renewed strength with 42% advertising increases in the quarter led by our national and regional Indian channels. Our Cable Networks delivered $2.3 billion in operating income for the year. They now represent over half of the total company’s segment operating income. We expect this business to continue to lead our overall growth for the foreseeable future. The Filmed Entertainment segment reported fourth quarter segment operating income of $137 million, down as expected from $203 million reported a year ago. And as we mentioned on the last quarter earnings call, this anticipated decline reflects very strong Home Entertainment sale for the Avatar DVD this year, being more than offset by comparatively lower revenues related to the timing of paid and free TV availabilities and lower theatrical revenues from the mix of films as compared to a year ago. At our Television segment, the generated operating income in the quarter of $113 million, 13% higher than the fourth quarter a year ago. This improvement was driven by strong revenue growth at our Television Stations, partially offset by increased losses at the Broadcast Network from a higher programming cost. Station revenues were up 29% in the quarter as compared to a year ago. This reflects the improved local advertising trends, particularly in the automotive, retail and telecommunications categories. Additionally, we benefited from higher political spending related to primary races in Los Angeles, Florida and Philadelphia. This revenue growth at the stations fully converted to increased earning. Turning to our paid television platform, SKY Italia. SKY generated segment operating income of $97 million as compared to $155 million in the fourth quarter a year ago, and this primarily reflects the rights cost related to the full coverage of the World Cup. While we experienced a challenging business and economic environment in Italy during fiscal 2010, early indications in fiscal 2011 are encouraging. Total revenues increased 4% in local currency terms as compared to the prior year's quarter, driven by upgrade tickets sold for the World Cup broadcast, where more than half of the matches were exclusive to SKY Italia. New subscribers and lower churn netted SKY 45,000 additional subscribers in the quarter, and this compares to no new net additions in the fourth quarter a year ago. And SKY closed out the fiscal year with 4.7 million subscribers. The fourth quarter overall churn rate was well below that of a year ago, which helped to produce an annual churn rate of approximately 13%, and this is considerably better than the trend we witnessed a few quarters ago. Overall costs were higher in the quarter, reflecting World Cup rights, scheduled increases in Series A rights and costs related to the rollout of set-top boxes with advanced HD and PVR capabilities. On July 1, SKY Italia consumer offering was reorganized, more than doubling the number of programming package alternatives, including offering a EUR 29 per month price point for the soccer package. We believe this increased choice for the Italian consumer will stimulate subscriber growth. The early response to this new package has been quite encouraging. At our Newspaper and Information Service segment, reported a solid quarter with segment operating income of $115 million, and this is up over 20% from the fourth quarter a year ago. This increase largely reflects strong advertising improvement at all major titles, led by a 22% increase at the Sun, 14% growth at the Wall Street Journal and 10% growth at our Australian newspapers, and partially offsetting this growth is the absence of contributions from the Dow Jones Index business that was disposed of in March of this year. And at our Other segment, we reported a fourth quarter segment operating loss of $174 million as compared to a loss of $136 million a year ago, and this higher loss primarily reflects lower search and advertising revenues at MySpace. And finally, before I turn the call over to Chase, I'd like to address our guidance for fiscal 2011. And as we measure our guidance, we are starting with the fiscal 2010 segment operating income of $4 billion we just recorded. Exclude from this the $5 million litigation charge resulting in the base for 2010 of $4.46 billion for comparative purposes. And as we look at fiscal 2011, we are anticipating a stable economic outlook with modest growth in the major economies in which we operate, and we expect that advertising markets will remain healthy. As a result, we expect many of our businesses will generate strong year-over-year earnings growth, and these include continued robust growth at our Cable Networks, led by further expansion of our International Channels as well as sustained revenue increases at FOX News, the RSNs and STAR. Now as I mentioned earlier, Cable is now our largest segment. It accounts for over 50% of our operating income, and it’s also our fastest growing segment. Our Intelligence segment earnings, a continuation of strong local and national advertising markets, additional political spending at the local level related to the midterm elections, lower entertainment and program cost at the Broadcast Network will allow this segment to continue to grow. We also expect continued improvement at our Newspaper segment as we expect advertising trends to continue to improve. But we are also facing difficult comparisons from certain items that positively impacted fiscal 2010 that we are not expecting to repeat in fiscal 2011. These items include an extraordinary successful year in Film that presents difficult Film comps. While we are excited about our upcoming release slate and about the strength of our Film business overall, we are not, however, forecasting films to perform at the success level that Avatar achieved this past year. As a result, we expect our Film earnings in 2011 to be below 2010 in the mid-$300 million range. Although current foreign exchange rates approximate the average we experienced for fiscal 2010, we are anticipating less favorable foreign exchange rates in fiscal 2011. And as a result, the lower exchange rates will reduce our 2011 operating income by about two percentage points. Taking all these items into account and based on all the assumptions inherent in our projection, we anticipate our segment operating income growth rate for fiscal 2011 to be in the low double-digit range above the $4.46 billion fiscal 2010 segment operating income base level. Obviously, the decline in the Film result I just referred to will affect comparisons in various quarters, but the most challenging comparisons in the first and third quarters owing to the timing comparisons of Avatar and Ice Age 3. And with that, I’d now like to turn the call over to Chase for his comments.
Chase Carey: Thanks, Dave, and good afternoon. Dave just took you through the numbers for the year, and I'd like to add that with 30% profit growth, we feel not only proud of our performance but of the significant strides we made to position us stronger today than we were a year ago. Yet the economy was not as dire as we feared, and we benefited from a recovering advertising market, an advertising market that continues to be very strong across the board today, and we look to continue to take more than our fair share of that advertising. Our local stations currently look to be pacing at close to a 30% growth rate for this quarter, and the networks’ scatter market continues to generate double-digit premiums to upfront pricing. Our Cable Networks’ scatter is even higher than that. This strength is really across the board with almost every major ad category showing growth. However, what really drove our results this past year was the quality of our execution and our leadership position across the vast majority of our businesses. I'm not going to speak about each of our businesses, but do want to spend a couple of minutes on a few key areas. Our success starts with our core content and distribution businesses. At our Film division, our record-breaking results were driven by Avatar, which ushered in a whole new era in 3D production. Our Television studio matched it step-by-step with the two biggest hits of the season, Glee and Modern Family, which have both been sold into syndication in their first year. These content businesses are highlighted by long-term management teams that have proven track records that are second to none. Clearly, success in this business is driven by creative executives making tough decisions. However, we've been equally adept navigating the emerging digital technologies and have proven ourselves to be ahead of the curve in carving out leadership positions on issues like low-priced DVD rentals and subscription streaming. We also continue to add exciting new extension to these businesses like our overseas Film unit that released the #1 film in India, My Name is Khan, or our Television unit that has produced original cable hits like Burn Notice and White Collar on uniquely attractive economic terms. The year-on-year comparison for this segment in 2011 may be tough [ph] (31:59) due to the success of Avatar as Dave said, but we feel great about our position as leaders in this business and our ability to take advantage of consolidating industry and emerging, exciting new distribution opportunities like mobile platforms. While our content business is frequently the headline-maker for us, no business is more important to us than our Cable group, which has really become the foundation for New Corp.’s profit and cash flow. As Dave noted, it currently represents over half our profit, and that percent will continue to increase among our existing businesses. This is a big, broad group with channels covering most genres and geographies. It’s a group that has nearly tripled its profits over the last five years. Yet we believe the most exciting growth is ahead of us. The majority of our core channels are still in a significant growth phase, and we continue to add key new channels that leverage existing franchises like the National Geographic Wild Channel, the Big 10 Channel or multiple channels around the world. We expect profits from our international channels to more than double over the next five years. FOX News is a true juggernaut, and we're heading into carriage renewal discussions. FX, which has led the industry in successful original programs, can grow by multiples before it reaches USA's profitability. Likewise, the National Geographic group is still only a small fraction of Discovery. This group not only has exciting growth potential but great stability due to the long-range nature of our contracts. It is a fabulous business, and I do not believe that its strength, value and importance are properly understood in evaluating News Corp. In many ways, our Broadcast business has been as successful as our content Cable businesses. I actually think it should be thought of as part of our channels group, arguably the driving force of our channels business. The Fox Network finished its sixth year as #1, and many of our stations had record market share. The problem is, it simply has a lousy business model. Broadcast needs the dual revenue stream of its Cable channel brethren. We've begun this fight, and we will prevail. We have right on our side. We have the most valuable programming and deserve to be fairly compensated. The third business that goes hand-in-hand with our content channels are our Satellite platforms. This business is at a much earlier growth stage than the others. In Italy, the last year has been a challenging one with a combination of regulatory, competitive and economic headwinds. However, this is a market that is still in the early stages of its growth. We will look to HD and DVR as the key forces to drive our businesses and put in place some an exciting new packages and offers to complement our content leadership. While the summer is a difficult time to judge, we're optimistic about renewed momentum in coming quarters. Sky Deutschland is at an even earlier stage in Italy and clearly a work in progress. Nonetheless, the size and wealth of this market make the potential rewards clear. We know from the experiences of building platforms in the U.K., Italy and the U.S. that these are tough jobs that rarely follow a straight line. Our announced move to stand behind a EUR 340 million capital call is designed to give the business the flexibility to invest and build its offering. Our actions clearly speak to our belief in this business. The new management team has done a great job putting together a plan that focused on making Sky a leader in unique quality content married to position of HD leadership, while being able to invest in the operations to both maximize efficiencies and deliver a great customer experience. Our one platform that is not at an early stage is BSkyB, which many consider the world's premier distribution platform. As you know, we've recently announced a proposal to acquire the rest of this business for cash. This is a business we know well and have a strong belief in its long-term potential. The transaction will be earnings-accretive, while at the same time achieving our strategic objectives of further increasing our profits generated for more stable subscription businesses and improving geographic diversification. In addition, fully consolidate BSkyB allows us to streamline our corporate structure, which will enhance our evaluation by the investment community. We presented a full and fair offer that values Sky at a significant premium. We will continue to take a disciplined approach to this transaction. We've been willing to sit with our current investments for many years and have other options for our cash. While we expect our content, channel and platform businesses to drive the profitability and value of our company, we equally believe that our print businesses have exciting opportunities to grow as historical competitors struggle and digital technologies open new arenas for expansion. We've led the industry in focusing on dual revenue stream business models and believe mobile platforms will transform the print business. We’ve clearly established ourselves as leaders in every market where we compete and are determined to pursue ways to maximize the profitability of these businesses, while intelligently navigating risk. Our goal with these businesses I just discussed and, more importantly, with News Corp. as a whole is to build long-term value for our shareholders. We believe we’re in a growth business and that there are unique opportunities are out there to expand our franchises and add value, be it in international markets that are still growing or digital arenas that are just emerging. We prefer to build, not buy, in taking advantage of these opportunities. We will take risks, but they will be intelligent risks, and we're prepared to walk away if the risks get too high. Equally, we are not just focused on growth. We have made it a priority to reduce costs and maximize efficiency in businesses from our TV stations to our Newspapers to content production. We've also divested businesses like our Bulgarian TV unit and the Dow Jones Indexes when we've determined they were not strategic to us. We recognize that the cash accumulated on our balance sheet created a highly inefficient capital structure, but we did it for a reason, and we’re now addressing it. We are proud of what we built, and we are committed to continuing to build not only an even greater business but one that rewards our shareholders as well. Thank you for that, and I'll turn it back to Reed.
Reed Nolte: Yes. Operator, now we'd like to take questions from the financial community, please.
Operator: [Operator Instructions] And our first question in queue comes from Jessica Reif Cohen with Bank of America Merrill Lynch.
Jessica Cohen - BofA Merrill Lynch: Chase, there was something in the press, I think, today that said that you were going to take a salary cut. I was wondering if you could comment. Is that true? And if it is true, what led to that decision?
Chase Carey: Yes, what I actually do is reducing my salary, but it is being essentially changing into longer-term, performance-based compensation. I think that's the proper thing for senior manager of a company. I think an alliance, senior management -- my interest is more with shareholders, and I believe in the business. I believe in our future, and I think it's the right thing to do.
Jessica Cohen - BofA Merrill Lynch: All right. So, Dave, in your guidance, can you address what your advertising assumptions are in that? And Rupert, I was just hoping you could give just general comments of your view of the world economy at this point. On the last call, you were really concerned about Europe before the world's focus on Greece. And I was just wondering if you can update us on how optimistic you are today.
David DeVoe: Jessica, we’re not going to give you all the advertising, but if you look at the two, U.K., the United States, both. Whether it's our Cable or our Television station, there would be for the year around the mid-teens level.
Keith Murdoch: Yes, and if you want me to talk about the world economy, I just say that I can't help but believe that today's rates are fragile, certainly the Western world. On the other hand, we have almost inexplicably good advertising and great confidence there. So we just have to see how it turns out. But certainly, I'm very, very confident over the next six months. But I think it's sufficient presumably for us not to be overconfident about the medium term.
Operator: Our next question in queue will come from Ben Swinburne with Morgan Stanley.
Ben Swinburne - Morgan Stanley: Chase, one for you, and maybe I’ll fill one more in after as a follow-up. But I wanted to go back to the FOX News repricing. I know you can't talk about specific deals, but I think you started repricing, renegotiating that network back in late '07, and I think you just finished with the last distributor earlier this year. I think that's roughly right. So it looks like it was sort of a 2.5-year process. Is that roughly similar to how the next round is going to go just from a timing perspective? Or do they pay south further out in the future?
Chase Carey: I think it probably is a little longer than that timeframe. And it’s a multi-year process that -- I'm not sure I’d put a specific year timeframe to it, but…
Keith Murdoch: It’d be more like 3.5 than 2.5.
Chase Carey: It’s more than two. Certainly less than five.
Ben Swinburne - Morgan Stanley: Okay. And if I could just ask about the two -- some earlier stage European distribution business, SKY Italia and Sky Deutschland. You clearly are believers in both. What is the consideration around potentially consolidating Sky Deutschland at some point? Is that even in your thought process as you think about helping them finance and build that business in Germany? And then in Italy, Rupert, we've seen that market become sort of more and more difficult from a competitive environment, the regulatory environment, a lot of the political overtones have impacted SKY Italia. As you look out over the next two years, do you think that gets better from here? Or is it going to remain a big challenge for that business?
Keith Murdoch: I think there are a lot of indications that it's going to get better. We're already expecting some pretty favorable rulings from the EU.
Ben Swinburne - Morgan Stanley: And any comment on Sky Deutschland?
Chase Carey: At Sky Deutschland, our focus really is on building the business. Yet we recognize today, it is obviously in a loss position. And we’re obviously driving it forward to maximize the opportunity there. We believe it really can be a great platform for us. You look at the size and scale of that German market. There are some unique aspects to it. We have to figure out -- I mean, customers there do have more choice going in, so we have to make sure our quality really stands out. Our content stands out in quality and drive, the quality strength of HD and DVRs, make sure we focus on the right content, drive the experience but that is really our focus is maximizing the business, while we know that it's at a loss position in the short term, I think our focus will remain on maximizing the performance of the business.
Keith Murdoch: I'll just add that Germany is probably the biggest and richest market in Europe. It’s certainly difficult for paid television as Chase said. But we now have a management team that we have great confidence in, and we're going to see it through.
Operator: Our next question in queue, that will come from the line of Alan Gould with Evercore Partners.
Alan Gould - Natexis Bleichroeder, Inc.: Chase, first, can you just give us some sense of the timing of how this BSkyB process is going to work both with the regulatory body as well as with the independent board and what you meant by you've got other options for our cash? And second, for Dave, can you just repeat what was the normalized EPS in the quarter? And did it include $0.12 of interest?
David DeVoe: No, there was a tax benefit in the quarter, which improved our earnings per share by about $0.12.
Alan Gould - Natexis Bleichroeder, Inc.: So was it $0.30? Or was it $0.18?
David DeVoe: No, the adjusted EPS is $0.30, which compares to a year ago of $0.19, and included within the $0.30 is a tax benefit of about $0.12.
Chase Carey: I guess on the Sky front, I’m not sure I can provide a lot of clarity beyond what we've said before. We're still in the early stages of the regulatory process. We have it at the regulatory review. I think as we said, it could take as short as six months, but it could take longer. And we have to see how that profit goes along at this point. It seems to be going largely as we expected. Past that regulatory review, I think we’ve got a commitment for a couple of months, three months, to not pursue a proposal without board recommendation. And I think those are the parameters.
Alan Gould - Natexis Bleichroeder, Inc.: So you're speaking with the independent board at the same time.
Chase Carey: No, I think right now the focus is the regulatory review. I mean, that’s really why I think we recognize from both sides it benefited us to get to a place where we had the regulatory review behind us. And so, the focus today is to get regulatory approval for the transaction.
Keith Murdoch: I'll just add, there are really two stages in Europe. We'll be filing very shortly in Brussels, and that takes about a month to go through the first stage. They can pull, and normally do but not always, for a second stage which could take two or three months. We then come back to the British rating [ph] (46:56) levels. So that's why Chase said it could be six months or 12 months, but certainly not more than 12. We’d be a regular part of it [ph] (47:10) if it went beyond this fiscal year.
Operator: The next question will come from the line of Tom Egan with Collins Stewart.
Thomas Eagan - Collins Stewart LLC: Just a question on Sky. They reached 9.28 million subscribers, very close to their goal of 10 million and have taken major share in broadband and telephone. Was wondering, what do you think is the next strategic goal for them? Or is it more about harvesting what they've already done?
Chase Carey: I don’t think we’re going to get too far into sort of projecting where they're going. We obviously have been a bigger shareholder, know the business well and speak to their plans. We obviously with our interest have been part of formulating those plans. But it's not like it’s a company that we have not been engaged with so that you can assume largely what they've been doing. We've been a part of or, in many ways, at the center of building this business. But I think I’ll let them speak for what their plans and strategies are.
Operator: The next question in queue, that will come from the line of James Dix with Wedbush.
James Dix - Wedbush Securities Inc.: Just wondering if you could comment to the extend you care to on some potential M&A opportunities and some which may have come up in the press recently. I believe one relating to acquisition of a sports team in baseball. But also, just generally what you might consider doing with some of the businesses in the Other segment, such as Jamba and MySpace, and what your timing is on any decisions you might make there.
Keith Murdoch: I'm sorry. I would just begin by saying we will not be buying any sporting teams. And we are in the business of buying sports rights for our sporting channels, not buying teams. And as for other M&A possibilities, I don't think it’d be appropriate for us to discuss at this stage. But as far as MySpace goes, we’ve got a new management team. We’ve got great confidence in them. They're doing a major overhaul that’ll look very, very different in a few months to what it’s looked for the last few years, and we're going to see it out for some time yet. I mean, obviously, we're keeping it under very close review.
Chase Carey: But, I guess, Jamba, we are pursuing a process to potentially sell that. But generally our focus is as I said in the opening comments -- we prefer to build businesses than buying them. We may be buying sort of a raw start, but we think that has been the foundation on which we've built this business. And it’s certainly what we plan to pursue.
Operator: That will come from the line of Jolanta Masojada with Crédit Suisse.
Jolanta Masojada - Crédit Suisse AG: I’m just wondering if could you talk about the paper quantity and strategy being pursued at the U.K. Newspaper business and the potential to roll it out more broadly. And as part of that discussion, how meaningful could iPad revenue become for the Newspaper businesses globally?
Keith Murdoch: Well, I think it's very, very early days with our payroll around The Times. We have had a very encouraging number of people subscribing at a good price. We're not going to release those numbers. All the numbers for the royalties all break up, all these things [ph] (51:03) at this stage, but we can run the right strategy there. And we think it's going well. As to the iPad, of course, there will be other imitators. There will be other people in the market very soon. But I believe that, that is a game-changer altogether. We’ll have young people looking at newspapers. We’ll have different-looking types of newspapers. You’ve already got a number of news sites from independent people at a moment. It's a real game-changer in the presentation of news.
Operator: The next question in queue, that will come from the line of Doug Mitchelson with Deutsche Bank.
Douglas Mitchelson - Deutsche Bank AG: Chase, I wanted to ask you about executing at the TV division. Obviously, a lot of commentary on retrans was necessary, and now, of course, you're getting it. In the past call, in our prior call, I think there was a view that TV can back to the $1 billion EBIT run rate that it had been averaging pre-recession. So you’re at $220 million now. I know you get political this year, but how do you get from $220 million of EBIT back to $1 billion? Or is that not the goal anymore?
Chase Carey: Obviously, retrans, we’re in the very early stages of that process. I mean, we’ve done a couple. We got a couple more coming up this fall. As we’ve said it could take a few years. You have the affiliate side of it we're just moving into, so realistically, we’re just at the very beginning of that dynamic. And our stations realistically are still sort of recovering or growing. And if you look at this quarter, I mean the year-on-year comps are not getting a [indiscernible] (52:51) in the second half of the year, but you look at the year-on-year comps for the first half of this year. The station has great comps. Even on the network, we had Glee last year, but we probably got to a place where we were a little too reliant on older expensive programming. We had 24. And I think we did a good job reenergizing with Glee. I think we have an opportunity to really sort of reinvent American Idol this fall. Obviously, there’ll be some cost savings in that, but I think, more importantly, it's really an opportunity to really reenergize and get an existing franchise, refreshen it. Marry it to The X Factor in the fall of 2011 that I think really gives us potential for a great doubleheader in that business. And continue to really create programming that stands out. Not that editorials or, I guess, reviews are always the best barometer of success, but I think the shows we've got going on the network this fall, people feel good about. I think we’ve got a great mix of a couple hours, a couple half hours that have great potential. And I think that's what I find [ph] (54:07) is we’ve got fresh, new, exciting programming coming. And the network, I think, has growth in it. I think the stations clearly are still in a place of recovering .We’re actually not through the cost-cutting applications. We’ve taken a fair amount of overhead and headcount, but through this calendar year, we’re continuing to take some of that out. And I think there are an array of initiatives from the retrans to the stations getting to their potential and the network continuing to reenergize with fresh programming like it’s got coming this fall or Glee last year.
Keith Murdoch: And I'd just point out that we were the #1 premier network this year by a bigger margin, I think, certainly than we have ever been in the five years we've been in that position. And I'm extremely confident of what we're doing with Idol, but it's the year after when we’ll have American Idol and X Factor and other programs, which should really make us stand right out as the #1.You get plenty of advertising whatever the economic conditions.
David DeVoe: Within our projected growth for next year, we are projecting pretty significant growth for the Television segment.
Douglas Mitchelson - Deutsche Bank AG: I'm just trying to get a sense of how much of it was revenue and retrans versus advertises versus costs. I think...
Chase Carey: It’s some of all. I would not say costs are the driving force, though they’re certainly a contributor to it. But it is that both program costs and efficiencies, and certainly, they're all significant. Retrans is probably the singular long term to look -- if you look at it, if USA’s going to make $1 billion, we’ve got ratings that are multiple to theirs with the [indiscernible] (56:05) programming we have. We’d better be driving to make this business make significantly more than they do.
Keith Murdoch: For retrans to make its full contribution, which would be very great, that will take two or three years by the time we go through all our contracts with all the [indiscernible] (56:23). And it’s rather like what has happened with FOX News. But it’ll be there, and it'll be very important. Just on the stations, whereas the company generally, we are moving more and more to subscription models and dependent on the regular subscription revenues and rising ones. But the stations, which depend on advertising, they will be getting, of course, part of the retrans, but our bookings at the moment are extraordinary in every category, I think, except maybe beverages. In July alone, we were up 44% in automotive, and pacing for the next two months which may be a little bit hefty because people are now making their bookings earlier, but we’re talking an 80% to 90% increase in automotive. So it's really very, very strong, and we are increasing our share of market in those local stations.
Operator: Our next question will come from Rich Greenfield with the BTIG.
Richard Greenfield - BTIG, LLC: So a question on Sky Deutschland. When you look at the differences between what you've see in Italy -- Italy has obviously become even though it's struggling at the moment versus last year. It's been an overwhelming success. When you look at the challenges facing Germany, as it starts off in your investments there. What are the big differences that you see between Italy and Germany? What have you learned so far? You changed management. Maybe just give a sense of why the change in management. And what's being done differently now that gives you confidence in where it's going over the next couple of years?
Chase Carey: I guess probably the first difference you look to between the two is -- I guess I touched on it a minute ago -- in Germany, the consumers do have a fair amount of choice. The majority have a fair amount of choice. They start off with a fairly decent channel package they get through cable or satellite, which wasn't the case in Italy. And what that really means is what you focus on is sort of quality. So within Germany, it's more of a quality experience, whether that quality is in content or technology in HDs, DVRs, user interfaces or the like. So you want to create content that stands out. And the other difference, I guess I’d say, is you have a cable business there, in Germany, that probably covers half the market that you largely distribute through. And, I mean, you don't really have a cable industry in Italy. I mean, the competition’s different. I mean, in Germany, you’ve got the Telco and the cable, and actually, they’re much more focused on broadband and telephony. And we’re there with the video offering, and I think the key is really to offer a quality video offering. We’ve got pretty wide, open places to do it across. I mean, they’re making some noise, but I do think their focus is elsewhere. And create a quality video offering, quality technologies and marry it to quality service. And in Italy, our competition really toe-to-toe become the MEDIASAT platform that is competing on price. I think we’ve got quality, and I think we’ve found our footing and our mojo back in Italy. I feel actually we're on good track there. So I think there are different competitive dynamics -- you get some real economics, I mean, because of it. Germany’s a bigger market, and we pay significantly less for key sports rights in Germany. I mean, because of the infrastructure that exists in Germany, fact [ph] (1:00:34) is a fraction of what it would be in many markets because you can take good advantage of the fact that a lot of people have dishes on their homes, half of the satellite have dishes. And in a lot of places they have set-top boxes. They have wiring into the home. So there's some real efficiency if you can take advantage. So I think in Germany, you got to make sure you're smart about programming, betting on stuff that makes a difference. Be efficient. Watch it run. Drive to places you can. Make a difference like HD and DVRs. Create a great experience for customers. Take advantage of the efficiencies and the opportunities that exist in terms of cost-saving and the like. Make sure you’re buying programming that makes a difference. You’re not just buying bulk. And take advantage of the fact that you’ve got competitive environment where the competitors are really focused probably first and foremost on their profits. And I think that those are a lot of dynamics that are different if you look at Italy.
Operator: The next question in queue, that will come from the line of Adam Alexander with Goldman Sachs.
Adam Alexander - Goldman Sachs: I was just looking at the International Channels. They’re becoming a material driver of growth within Cable Network. I wonder if you can break out the operating income for FY '10, and then can you talk about the growth expectations on a three-year view? And what sort of countries or regions are really driving that growth?
Chase Carey: Well, we’re in probably most of the world. So there are probably some regions -- Latin America’s been a very successfully region for us. Europe’s pretty successful a region for us. But we really, it is a big, wide, broad growth in some of these market it follows. I mean, one of the great things about International is a lot of the markets are still just developing. Now , I mean, obviously, we need to develop a distribution market and create channels for it. And we are riding on the back of that, but it is most continents, most regions. Again, those would be the couple that are bigger. I think the neighborhood this year is sort of around $400 million. And again, as I said, it's looking within five years of business. We expect to be a $1 billion business.
Operator: That last question will come from Spencer Wang with Crédit Suisse.
Spencer Wang - Crédit Suisse AG: I guess the first question is for Rupert. You’re clearly trying to get paid for your print content online. So I was wondering if you could update us on your current thoughts about how you plan on monetizing your TV programs and networks online in the context of the TV Everywhere initiative as well as your ownership in Hulu. And then just very quick for Dave, should we expect any material changes in CapEx in fiscal '11 versus the $914 million you reported in fiscal 2010?
David DeVoe: We'll be a bit higher in fiscal 2011. It’s probably going to be $1.1 billion.
Keith Murdoch: I would say we'll be pushing very hard on VOD. If you talk about Hulu and Netflix and various things, these new businesses are under content review. Some are a challenge to us. And I wouldn't say more than that at the moment other than that Chase and I and the whole of the Film company are giving a great deal of thought to future moves in this area.
Chase Carey: And I think the general themes as you get into these digital arenas are that you want to move towards dual-revenue stream businesses. Doesn’t mean there aren’t some places you have free. And I think primarily subscriptions the most trapped, but I think we need to look at an array of sort of dual-revenue stream businesses, and I think we need to manage windows. And I think the Times business has gotten sort of rushed and sort of acted first and thought second. And I think we need to make sure we’ve got great products. We need products and manage the pricing in the windows and the like. I think we need to be part of this digital world, and I think there are great opportunities. I do think mobility, and I agree with Rupert’s observations on the iPad. And hopefully there are a lot of iPads, not just there are a lot of tablets and a lot of devices, I think, really has an opportunity to create a whole new platform that we can develop and develop in a constructive way. I do think things like authentication have the promise of really developing business models that are healthy for us that open up new avenues, find new exciting opportunities for customers, but find them in ways that enable us to continue to add value to our businesses and carefully manage the uniqueness of our products and not just let it get it commoditized at being thrown out there too widely and too freely.
Operator: [Operator Instructions] Our first question will come from Peter Ryan.
Peter Ryan: Peter Ryan from the Australian Broadcasting Corporation in Sydney. I wanted to get your thoughts on the Australian election campaign. What are you seeing as the big issues for the economy? And who would you prefer to see as Prime Minister of Australia, Julia Gillard or Tony Abbott?
Keith Murdoch: I think I have no comment at all. Just read our newspapers and see what our editors think. They have the freedom to decide that. We’re obviously watching them closely, and there haven't been any really great issues emerge here.
Peter Ryan: What are your views on the campaign at the moment, the way it’s being conducted by the two leaders that has been criticized as being a bit of a debacle back here?
Keith Murdoch: Well, that might be true with the ABC comments and what part you're playing in it, so I think I'll just let that pass.
Operator: Our next question in queue, that will come from the line of Sarah Rabil with Bloomberg News.
Sarah Rabil: I just wanted to get an update on the status of the MySpace search contract with that deal with Google expiring at the end of this month. What is the status of talks there, and how much do you expect that new contract to be worth?
Chase Carey: We're actively talking to parties. Probably not going to give away a whole lot. I think we’ll probably negotiate deals first and announce them second. But we have interest in it, but we’re not expecting a deal like we had before. We’re expecting this’ll be a performance-based deal, and to the degree we can add dimensions to it, we will. But you’re right. It is imminent, and we are actively engaged.
Operator: The next question in queue will come from Shira Ovide with The Wall Street Journal.
Shira Ovide - The Wall Street Journal: I wonder if you can talk generally about how you're thinking about tablet computers and mobile, whether you see those devices as an opportunity to kind of replicate existing content or whether you're thinking to develop entirely new business ideas for those devices.
Chase Carey: I guess I'll speak from my perspective. I do think those devices have transformed peoples' expectations and the opportunities around mobile. For a number of years, everybody talked about the value of content on mobile platforms. I think you may get, on a smartphone, I don't know, maybe 20-year olds that are watching a smartphone, but I think this device, really as others have, those devices out there really gives you both a much richer experience. It really is obviously, very conducive to video. But even you take the Wall Street Journal on an iPad is a very different experience than it is on a PC. And I think you can use it for some of these things and just using it tells you how it's different. And I think it is also a device that for the first time really starts to deliver on the promise of multimedia, where you can see how you could jump between, you could sort of go between what traditionally would be video content, printed content, advertising that really is attractive that you could penetrate through and engage with. So I think a lot of the buzzwords that have existed for a few years -- I mean, people talk about interactive TV and mobile platforms and all that stuff for a few years. I think all of a sudden it becomes something you can envision in a real on -- and I think that’s happened. And I think for us, it’s incumbent on us to try to figure out what are the opportunities, again, intelligently, recognizing our product has tremendous value. And how do we exploit it? How do we develop the right consumer experiences on those devices, and what are the types of digital opportunities that we can develop? We're actively engaged in trying to develop an array of ways to place, and I think people [ph] (1:10:23) -- this emerging platform, which we think will be an enormous platform. And we think it is a real opportunity for us.
Keith Murdoch: I’d just say, I mentioned the word game-changer before. I believe that. I think we're going to see around the world, hundreds and hundreds of millions of these devices. And there'll be all sorts of things we can do with them. And as they develop technologically, we've got to develop our methods of presentation of news.
Shira Ovide - The Wall Street Journal: And that means also kind of seating, as people have written about seating -- kind of separate news organizations to be devoted solely to news on tablets.
Chase Carey: We're doing a lot of things here. And I think we think there are some exciting opportunities.
Operator: Next question in queue, that will come from the line of Georg Szalai with The Hollywood.
Georg Szalai: I was just wondering whether you cared or who controlled CKx, the company behind American Idol, and what your take is on who the judges for that show should be.
Keith Murdoch: I think we’re very close to announcing who the judges will be. There are very active negotiations with a number of people. And what I can assure you is that next year's Idol will be different. It'll be better. The music will certainly be better, and we’ve got great expectations for it. As for CKx, no. We don't really have any say on who the owner is or will be.
Operator: Our next question in queue, that will come from Jordan Chong with the Australian Associated Press.
Jordon Chong: Mr. Murdoch, I was just wondering if whether the delay for the anti-siphoning this year in Australia sort of could create some uncertainty in terms of bidding for sports rights that your pay TV operations here in Australia might be interested in. If you could talk a bit about that, please.
Keith Murdoch: You mean the position of Foxtel versus the free-to-air?
Jordon Chong: Just in terms of bidding for sports rights that are coming up and with the lack of a new updated anti-siphoning law from the government , whether that creates some uncertainty about the prospect of your pay TV operations here, bidding for some of those rights.
Keith Murdoch: Well, we only have 25% of Foxtel. And I think, personally, that the anti-siphoning, I understand how it happened, which I won't go into. But it does hurt the sports associations and that there's no open bidding between pay and free-to-air. And also the view is that a lot of sports, which are not tough sports, were on the anti-siphoning list and get put on by the free-to-air at 2:00 in the morning or something. So will it be impacted by the election? I really don't know.
Operator: That final question will come from Brian Stelter with the New York Times.
Brian Stelter: It's been one year since the Liberal Group started to boycott [indiscernible] on FOX News. They still seem to be adding… Any effect on FOX News?
Keith Murdoch: I didn't get that. Boycotting what?
Brian Stelter: It's been one year since all these liberal groups started to boycott Glenn Beck’s show on FOX News. If that boycott continues…
Keith Murdoch: They don’t boycott watching it because it’s getting incredible numbers. We haven't lost any business at all. I mean, some might've moved to other programs, but no. It’s certainly not affected the total revenues or the profits.
Chase Carey: Thanks, everybody for joining our call today. If you have any further questions, please feel free to call. And have a good day.
Operator: Thank you, and, ladies and gentlemen, this conference will be available for replay after 6:30 p.m. today through August 18, 2010, at midnight. You may access the AT&T telecast replay system at anytime by dialing 1-800-475-6701 and entering the access code of 160913. International participants may dial (320)365-3844. Once again, those telephone numbers are 1-800-475-6701 and (320)365-3844 using the access code of 160913. That does conclude our conference call for today. We do thank you for your participation and for using AT&T’s executive teleconference. You may now disconnect.